Operator: Good afternoon, ladies and gentlemen. Welcome everyone to the NexTech AR Solutions Corporation 2021 Fourth Quarter and Annual Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session.  I’d like to remind everyone that this call is being recorded, today Tuesday, March 22, 2022. I will now turn the call over to Ms. Lindsay Betts, Head of Investor Relations at NexTech AR Solutions Corporation. Please go ahead.
Lindsay Betts: Good afternoon and welcome to the NexTech Q4 earnings call. With me on the call are Evan Gappelberg, Chief Executive Officer; and Andrew Chan, Chief Financial Officer. Today before market closed, NexTech AR Solutions Corp released its financial results for the fourth quarter and year ended December 31, 2021. A copy of the earnings disclosure is available on our website and on SEDAR. Some of the information discussed on this call is based on information as of today March 22, 2022 and offers forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release as well as in our SEDAR filings. During this call, we will discuss IFRS results and key performance indicators. A detailed description of our key performance indicators is available in our MD&A, which can be found on SEDAR. Neither this call nor the webcast archive may be rerecorded or otherwise reproduced or distributed without prior written permission from NexTech. To begin our call, Evan Gappelberg, CEO will discuss Q4 and 2021 highlights as well as any recent business development followed by Andrew Chan, CFO, who will review our financial results and outlook. Finally, Evan will make closing remarks before opening up the lines for question-and-answer period. I'll now turn the call over to NexTech AR Solutions' CEO and Founder, Evan Gappelberg.
Evan Gappelberg: Thank you, Lindsay. Good evening, everyone and thank you all for joining us today. First, I want to thank all of our employees who are located across the globe including Canada, the United States, Europe, Asia Pacific region for their continued commitment. NexTech success throughout 2021 and now in 2022 is only made possible through the hard work, creativity and dedication of our talented and valued employees. Our culture of organizational learning and working culture that we've developed at the company continues to drive business excellence at NexTech. In 2021, we have emphasized the accelerating adoption and extraordinary demand that we experienced for our augmented reality and metaverse solutions specifically in Q4. And it really was reinforced with new deals, closing in Q4 for augmented reality and eCommerce solutions at a pace that the company has never experienced before. The demand for 3D models and augmented reality experience is increasing globally across a multitude of industries, including but not limited to eCommerce, manufacturing and education and we believe that this will only accelerate throughout 2022 and beyond. Our company's mission is to build the first vertically integrated AI powered 3D model factory for the metaverse. I'm just going to repeat that, that our mission is to build the first vertically integrated AI powered 3D model factory for the metaverse. In 2022, we're going to strive to accomplish this ambitious, but attainable goal. Revenue growth has been quite dramatic since I founded the company back in 2018. We've transitioned to a SaaS business model in Q4 of 2021, which is on full display now, as we roll into 2022. The ongoing COVID 19 pandemic over the past two years has certainly caused a lot of volatility in the market and a lot of unknowns. We pivoted to a world of virtual events and really the whole world pivoted to virtual event and online shopping back in 2020, and even first half of 2021, which resulted in a dramatic boost in revenue for our virtual events and e-commerce businesses in 2020 in the first half of 2021 and as we previously mentioned, we have ever considered this boost to our virtual events business to be permanent and it really is not the main focus of our company going forward. While we have navigated the pandemic, we have always had our eye on the prize on the bigger picture, which was always since the founding of the company, augmented reality experiences and the monetization of 3D and AR solutions. Over the past four years, we've been investing heavily in our augmented reality and metaverse solutions making transformative acquisitions and continuing our research and development activities to further enhance our technology stocks -- that stack. Finally, in 2022, we really have just begun to reap the rewards of these investment as the world has now woken up to the idea that 3D is the future of e-commerce. The business opportunity and the demand for NexTech to produce 3D models and AR experiences for the metaverse has never been greater. In 2021, the pandemic waned and we saw the opening up of the global economy, which has resulted in a reduction of the necessity for virtual events and has impacted the entire virtual events industry as a whole. We have prepared for this inevitability by cutting our head count substantially as our virtual event, revenue growth leveled off. However, our live event business is alive and well and growing rapidly. We are a diversified company which gives us the good fortune to be able to pivot resource and we have moved our resources from virtual events to live events. We have moved some key clients from virtual events to live and hybrid events, which allows us to continue our momentum within the events business on our map E platform. In 2022, we are seeing a healthy uptick in the live event business with our average monthly map dynamics revenue, which is our live event platform increasing 78% since Q4 with the average map dynamics order increasing 16% compared to Q4 of 2021. Also with our 2022 integration of Stripe, which we previously announced of the Map D platform, we've seen further growth of high margin revenue with these events. The Stripe integration provided an additional, no touch $760,000 in projected annual revenue for NexTech through a 2.3% platform fee when Stripe is used for booth sales, again for these live events, which is a business segment that we own and operate and are growing currently. We expect this high margin revenue to accelerate in 2022, as we introduce a new ticket sales capability, which will have at least the 2.3% fee which will take effect in April of 2022 or in the next few weeks. So we see that business as extremely strong, high margin, profitable business that we are just starting to scale currently in 2022. Revenue from our AR Solutions continues to rapidly accelerate the demand for 3D models for e-commerce has increased as a new immersive and engaging way of online shopping has been introduced. Businesses are finally starting to recognize the benefits and consumers are beginning to expect these experiences. In Q3, we announced our expectation to close 2021 with all overall revenue in the $25 million to $29 million range. We closed out 2021 with a record breaking $25.9 million in revenue representing 40% year-over-year growth, which isn't too shabby. We are now signing up new accounts to erotize 3D, which is our flagship product, our flagship product for producing 3D models and we're signing up these customers for many different industries, including furniture, fashion, sporting equipment, pet wear, jewelry, eye wear, home goods, bespoke gifts, automotive and more and we're experiencing a big jump in demand for our 3D model making solutions, which we do not see slowing down anytime soon. We are already seeing our enterprise business, which we've previously announced that Kohl's is our customer, Kmart is our customer, Pier 1 is our customer. We're seeing those businesses accelerate their order flow for additional 3D models. And we are also signing new deals with many small to medium sized e-commerce sites. In Q4 alone, we saw a substantial uptick in customer adoption of our technology that are either signing 12-month annual recurring revenue contracts or annual repeat customers that keep coming back because of our incredible customer service and product technology stack. So we have almost a $1 million in annual recurring revenue or annual repeat customers. If you look at our renewable software license revenue, we peg that at around $1.4 million in 2021, which clearly is the growth engine of the company up 316% year over year. All of this is truly a validation of our efforts to disrupt the emerging multi-billion dollar 3D model market with the highest quality, lowest cost, most scalable 3D model solution anywhere. All signs in 2022 point to being a historic and breakout year for everything 3D. 3D models for e-commerce, annual recurring revenue, that's our business as we go forward, that's the area of business that we believe can scale quite quickly and should be what investors keep their eye on to measure the health of the company and our growth potential. Since 2018, we have reported to investors dynamic growth and shown our ability to pivot while delivering on our AR promise for AR for e-commerce and revenue growth, which is now accelerating into 2022. And really all of that speaks for itself. We started out just a kernel of AR in 2018. We moved into the eCommerce space in 2019. As we moved forward in 2020, we added virtual events into the mix and live events. Now in 2022, we are seeing the rapid acceleration in 3D and AR happening. And we strongly feel that the growth engine for revenue going forward will be our augmented reality and metaverse solutions. These solutions are being integrated to become one unified end-to-end suite of solutions called AR times metaverse suite, which we have previously demoed during an investor presentation and is expected to launch next month in April. We are focused as a company on the development and release of multiple first to market SaaS platforms for augmented reality and the metaverse to capture market share with our entire suite of interconnected products. Just to recap some of the products that have launched and some of the soon to be launched SaaS offerings, in Q4 of 2021, we launched ARitize labs for Higher Ed ARitize decorator for e-com and the Stripe integration, all happened in Q4 2021. In Q1 2022, we announced ARitize 3D as the public launch ARitize maps. The app was launched in Beta, which is a spatial mapping app that's currently being showcased at MIT. We also launched ARitize holograms, our human hologram creator app, which is about to be turned into a web-based human hologram experience, which we think will unleash the true potential of that app. ARitize 3D, we integrated with Shopify. That was a big deal. We're seeing fruits of that integration with many downloads and many customer signups on Shopify. We also have ARitize Swirl and ARitize Social Swirl launched in Q1. ARitize Metaverse Studio as mentioned launching very soon in April. Our CAD to POLY SaaS product is expected to launch in Q2. ARitize 3D getting integrated into BigCommerce is expected to launch in March. ARitize 3D WooCommerce integration will be in May, ARitize Magento integration May. We are just beginning to see the revenue and business emerge as we move full force into 3D model making, augmented reality and metaverse solutions with our new SaaS offerings. SaaS integration with our product line has significant implications for scalability of our products and our revenue growth. With the continued rollout of our SaaS platforms, NexTech continues to move away from a managed solution towards annual recurring revenue. I would say that we have successfully accomplish that goal and as we move forward, we're moving towards a low touch, slash no touch business model with monthly recurring revenue and annual recurring revenue. To give our investors an idea of what we're seeing in 2022 so far, our ARR annual recurring revenue has increased 57% since the end of the year 2021. Average new 3D deal size is up 53% compared to Q4. We're quoting on a whale of -- the whale of whales let's call it, there's a quote that we're working on 39,000 SKUs. It could even be bigger than that. It's not a again guarantee, but it's a quote and it's very close. We are contracting with repeat customers. There's an additional 3,000 SKUs order, CB2 ordered 2,500 SKUs and we have partnerships with Designer Inc., SHOPLINE, FKA Brands and more. To date, NexTech has created over 10,000 3D models with about 70% of those models created since Q4 2021. That's enormous growth in our production of 3D models. In the past nine months, NexTech 3D models have had 3.5 million views about 1 million of that 3.5 million has happened in 2022 alone. So about a million views of our 3D models in 2022 alone in just the first not even three months and we're just getting started. This massive estimated $200 billion 3D model making for the eCommerce business opportunity really just started to emerge in Q4 of 2021 and is continuing in 2022. We believe it's going to continue and we believe we're going to continue to win business because of our strategic SaaS and third party integration initiative with the Shopifys of the world, which will get our ARitize 3D solution in front of millions of eCommerce merchants globally and because of our belief that we have the best solution, the lowest cost, highest quality, most scalable solution in the market today. It's only a matter of time in our opinion that our competitors will give up, that our competitors will not be able to compete with us as we believe we have the only truly end-to-end solution for the eCommerce industry. Now, since Facebook rebranded itself as a metaverse company, it seems like a long time ago, but it really was just a few short months ago. There's been a complete shift towards all things 3D and AR and the metaverse and there's really no turning back. As everybody knows, Zuckerberg came out and said, I believe the metaverse is the next chapter for the internet and Big Tech believes the same thing. Microsoft, Google, Nvidia, Unity, Shopify, Qualcomm, they're all spending and investing billions, maybe hundreds of billions in the metaverse. Many notable brands have entered the metaverse, including Nike, Adidas, Coca-Cola. Louis Vuitton, Gucci, Disney, McDonald's, and many, many more. This is all great news for NexTech. Big Text's commitment, big brand involvement and the shift towards mass consumer adoption will only put wind in our sales. We have a unique position as the end to end metaverse solution, providing spatial mapping, augmented reality and 3D models. Ultimately, you add that together, you get the trifecta. We've created a platform like no other that allow for immersive experiences, ease of use and low cost. All of this is now on display at MIT tomorrow for the Hackathon, which we publicly announced today. Our position will be you cemented further upon the release of our ARitize metaverse suite, which is coming up in a couple weeks. As mentioned, the ARitize suite of SaaS products allows you to sign in and essentially choose your SaaS solution whether you want a 3D my model solution, an exploded view, whether, you want our showroom, hotspots, animation, swirl ads, our configurator, it's all there in one place. It will become the 3D destination for businesses. There's endless use cases; malls, sports stadium, retail stores, university campuses, theme parks, museums, corporate headquarters, events, live events, restaurants, rental properties, anybody that wants to turn their place of business, or even your home into a metaverse, it's all there. Considering the potential applications for what NexTech has built and anticipated market adoption, we believe that there's over $250 billion up for grabs. We believe that the SaaS for e-commerce alone as just a segment of the entire $250 billion metaverse addressable universe is over a $100 billion. So it's not a small number. And we believe that we have a leadership position and an opportunity to take huge market share over the coming years. I want to change gears. I want to speak to our investors for one moment about NASDAQ and our uplifting goals. Everybody should know by now that we have applied to NASDAQ, and we still are looking at this as a top priority. We appreciate all of your patience, while we work towards this goal, and we strongly feel that we are better prepared than ever to achieve it. Case in point during Q3 of 2021, we announced our change of auditor to Markham. Markham is an extremely well known, reputable US audit firm that has hundreds of companies that they've taken to an uplifting on NASDAQ or NYSE. We have also hired top new legal council at Haynes and Boone, who have a track record of success in getting companies uplifted. We are currently working with Markham and Haynes and Boone and are confident in their extensive experience in the US exchange upliftings of companies that are like NexTech. I cannot specify timing around this. I cannot reiterate enough that this is a priority for us. We are taking all the necessary steps while observing and complying with US Exchange and SEC regulation and preparation of entry on to a US major exchange. In closing Q4 was an important quarter for growth in 2021. As a whole should be viewed as a transformative year for NexTech. We officially became a metaverse company with two transformative acquisitions, and we succeeded, which was not easy in moving our business model from a managed service to an ARR slash monthly recurring revenue formula. NexTech is now fully focused on obtaining greater industry leadership in the augmented reality and the metaverse space with our entire suite of interconnected products. In 2021, augmented reality in the metaverse took center stage. These solutions have changed from a nice to have to a must have in 2022. And this is really what we've been preparing for since the founding of the company in 2018. I'm more confident than ever in the accelerating momentum of our augmented reality and metaverse solutions and I expect 2022 to be a year of hyper growth for all things augmented reality and the metaverse. There has been a digital transformation and once you go 3D, you do not go back to 2D. Our AR products are sticky and have significant implications for monthly recurring revenue and annual recurring revenue, which will accelerate with the adoption and stickiness of our entire augmented reality products and suites which again is launching in April. Fueled by the metaverse, the augmented reality tidal wave is finally here. I've been repeatedly saying over the past four years, many of you have heard this, that this will be a multi decade, multibillion dollar mega trend. Big Tech is now committed to building the ecosystem that NexTech thrives in and we feel confident, we feel very confident that our goal will be achieved. We are just at the beginning. It's an exciting time to be a public company and to be an investor in this space. The future is bright for NexTech AR. Today. I have the utmost belief in our company's direction, our executive team, and everybody behind the scenes working to achieve our vision of building the first vertically integrated AI powered 3D model factory for the metaverse. With a successful 2021, now behind us, I believe that 2022 will go down in history as the breakout year for everything 3D and a great year for growth for NexTech and our shareholders. With that, I'm going to turn the call over to NexTech AR Solution, CFO, Andrew Chan, who will provide commentary on the quarterly results. Andrew, take it away.
Andrew Chan: Thank you, Evan and good evening, everybody. As a reminder, unless otherwise noted, all figures reported on today's call are on Canadian dollars under IFRS. All the proceeding information is now available on our website and has been filed on SEDAR at the close of market today for your reference. Total revenues in the quarter was $6.4 million up 11% from $5.7 million in Q3 2021 and down 9% compared to Q4 2020. Annual revenues were $25.9 million up 47% from fiscal 2020. Compared to last year, product sales increased 38%, technology services increased 55% and renewable software revenues increased 316%. Q4 2021 product sales were $4.2 million down 8% over Q4 2020 and Q3 2021. Although product sales increased 38% year over year, the decline this quarter was mainly due to the impact of COVID 19 on the supply chain and getting the desired inventory products for the retail busy season. Our Q4 2021 technology services was $1.6 million down 26% from Q4 2020 at the height of the demand for virtual events. However, up 55% compared to Q3 2021. Towards the second half of 2021, we have focused our sales and marketing efforts to promote our AR products and subscription based businesses and thus on virtual events. However, we still saw consistent demand in 2021 with a 55% increase in technology services revenue year over year, Renewable software revenue was the fastest growing part of our segment with $0.5 million of dollars in revenue in Q4 2021, up 125% from Q3 2021 and makes up 5% of our total revenues at $1.4 million for 2021 with a growth of 316% from last year. At December 31, 2021, this segment accumulated $475,000 of annual recurring revenue ARR mainly from fourth quarter sales Gross profit during Q4 2021 increased by 24% compared to Q3 2021, however was still down 28% compared to Q4 2020. Overall for the year, gross profit was the same in 2020 compared to 2020 at $9.8 million. Product sales gross profits were negatively affected as a result of the global supply chain issues in the second half of 2021. That resulted in higher inventory in shipping prices for the same products. We saw improved gross margins in our technology services business, compared to Q3 as more virtual events in Q4 helped reduce the effects of the fixed cost nature of our virtual events delivery team. Going forward, we have reduced these fixed costs to better align with our forecast of demand. As we ramp up our AR and metaverse businesses through 2022, and as they contribute more significantly to our bottom line, we anticipate further increases in gross profits as margins for that segment is much higher than the product sales and virtual events businesses. Operating expenses for Q4 were $8.5 million compared to $10 million in Q3 2021, a savings of $1.5 million. The decrease in operating expenses in the quarter was mainly due to lower expenses in sales and marketing and research and development. During the past couple of quarters, we've restructured our sales force and marketing spent to a more cost effective model for the new pursuits in AR sales with the intention of lowering overall sales cost as a percentage of revenue over the upcoming quarters, in addition to managing our product sales expectations as a result of COVID 19 supply chain issues. The decrease in development cost was a result of shifting our development focus to AR products resulting in overall lower headcount in this area. General and administrative cost remain consistent. However, we do anticipate lower expenses in this category going forward with ongoing cost cutting initiatives since the new year. Overall headcount is currently approximately 140 people down close to 50% from the peak in the summer of 2021. We had a net loss in Q4 of $9.3 million compared to a loss of $8.2 million in Q3 due to non-cash stock-based compensation in Q4. However, once removed, net loss for Q4 would be around $7.3 million, a decrease of close to $1 million in losses. As of December 31, 2021, we had cash of $7.2 million, inventory of $3.4 million and a positive working capital of $9.2 million. With the addition of the $10 million raised in January of 2020, we have close to $20 million of working capital to start the year in 2022, along with the results of our aggressive cost savings plan to reduce the cash burn to $1 million a month, we will not need access to the capital for the next 12 months. I would like to personally thank my finance and accounting team, along with our internal business partners for all their hard work in making this happen over the last few months. With that, I turn the call back over Evan.
Evan Gappelberg: Thank you, Andrew. In closing, I would like to thank our employees, our shareholders, of course, and our partners for the continued support as we remain focused on preserving and growing long term value for our shareholders. On behalf of NexTech, thank you for your support as always. And thank you for taking the time to join us on this call. Operator, we are now ready for the exciting question and answer portion of this call.
Operator:  Our first question comes from the line of Scott Buck from H.C. Wainwright. Your line is open.
Scott Buck: Hi, good afternoon guys. Appreciate the time for a follow up and lot of really good information in the call Evan. Really appreciate it. First question for me, I'm curious, can you talk to us a little bit about, what the other 3D model offers are on some of the eCommerce platforms and how, your product differs from theirs and, and maybe what would direct somebody using that platform towards a NexTech product versus a competitor?
Evan Gappelberg: Sure. So it's a broad question. There's a lot of differences between NexTech and other 3D modeling companies. To summarize, I would say as we've spoken, our business model is very different where our competitors essentially sell a 3D model. So, a 3D model, let's just say costs $50 to make. And, our competitors will sell that for a $100 or $150. That's the standard business model in the industry. NexTech has taken a completely different tact and have aligned ourselves with eCom merchants by turning our offering to monthly subscription, a SaaS product. So don't pay us for the whole 3D model cost upfront. Pay us over the course of 12 months. And by doing that, we're essentially partnering with these sites so that, instead of paying let's say $150 in the example like I just gave for a 3D model, pass $250 per month and we'll supply you with 25 3D models, but you're signing a 12 month contract. So for NexTech, we get our ROI in like month four, month three or four essentially is when we breakeven and after that we start essentially printing money. The other piece of it, Scott is we look to our additional, let's just call them add-on features. The configurator has become a runaway grand slam for us where you create one 3D model and using the configurator, you're able to essentially change the colors of the 3d model and order the design or the fabric if it's a couch, just by pressing a button. So if you have, let's say a 100 different configurations of a single model by paying that's $500 a month, you get, you could get one model plus the configurator, and now you have a full on solution for that product. And, it kind of just keeps going from there Scott, where we also have hotspots. We have a decorator showroom. We have the ability to offer animations. We have a proprietary banner ad for swirl ads. And it's all -- it all leads back to our ARitize metaverse suite, where you log in and you get to essentially have a full spectrum of 3D product offerings for your e-commerce site. And our competitors just don't have that kind of breadth of product. And they certainly don't offer the monthly revenue, the monthly payment terms that we offer.
Scott Buck: That's very helpful, Evan. Do you know, off the top of your head or have some idea, how many customers that purchase models then come back 30, 60 days later and request some of these other services off the menu.
Evan Gappelberg: It's about 50% of the customers that try a 3D model and then, try a simple kind of 3D model and then they come back for additional services. What we're also noticing is that we do a lot POCs, proof of concepts, where people are like, oh, let's try it out. After people try it out, we get 80% of those people converting into customers. So it's a -- it converting into customers. So it's a -- it those are very bullish signs for our industry.
Scott Buck: Great. That that's helpful. You mentioned some rather large enterprise opportunities that you guys are working on. Do you have the capacity to be able to fulfill all those requests or would that require additional software engineers, developers, anything along those lines that would dramatically impact the OPEX line?
Evan Gappelberg: Yeah. So that's a good question. We are a factory, so we are scaling up as the demand comes in. It does require us to build some new tech. We are continuing to build better and better technology, that continues to allow us to have a competitive advantage in the market. So I would say that we're building it while we're flying it, or we're flying it while we're building it. Maybe better summarizes it, where we we've delivered for one customer 2500 models in a month. Now, to be quite honest, that was difficult. That was a heavy lift, but we did it. We're now beyond that and we're going to continue to scale. And the goal is to be able to do significant volume as we move into the second half of the year, as we get more automation, more AI, more machine learning under our factory umbrella.
Scott Buck: All right, hat that makes sense. And last one for me, nice sequential take hire on, on gross margin. How should as the business mix shifts, how should we be thinking about gross margins? And, and what's the ceiling?
Evan Gappelberg: Well, I'm going to let Andrew take half of this, but in general terms the business is shifting away from man, it services away from e-commerce to, well, the e-commerce business is kind of there, but it's, it's kind of on autopilot. We don't spend a lot of time on it on, and a lot of resources, but when you look at the business that's growing, which is the software it's growing very rapidly and it has a much, much higher margin. So over time the margin is going to get better and better and better, but I'll let Andrew maybe dig into a little more detail.
Scott Buck: Yeah. Thanks
Andrew Chan: Scott. if, if you look at the margins for our, our product sales, they, the hover around the high 38% to kind of the low 42%, that's kind of where we see spot with the capacity that we, that, that we have, or the, sorry, the volume that we have at this point with COVID 19 and the supply chain issues that has kind of taken it from kind of 40 something percent to kind of high 38 39 in Q4. And I believe in Q3 as well. The manage services business that was quite labor intensive as I had indicated through delivery and whatnot. And so as that kind of levels off, or the, the declines a little as we see the demand the, the positive contribution to Evan, what Evan was saying at a 3d model. 3d model and the model factory is I would say close to 50% to 70% in terms of margin. So as we see more volume there, I can only imagine our gross profit to, to increase.
Scott Buck: Okay. That's perfect. I appreciate it, Andrew. Thanks again, everyone, for the time for question.
Evan Gappelberg: Thank you, Scott
Operator: Our next question comes from the line of Lisa Thompson from Zacks Investment. Your line is open.
Lisa Thompson: Hi guys. So it looks like you got eCommerce back to break even, right? Is that where, and then that's where it's going to stay? That’s the idea?
Evan Gappelberg: Yeah, the e-com business, like I said, is kind of on autopilot at this point, Lisa.
Lisa Thompson: Okay, good. Let's see. So could you talk when you talk about putting a bit out for a whale, talk about who is, who literally are the companies you're bidding against so that we can keep an eye on them?
Evan Gappelberg: So these are RFPs, which means it's kind of a closed loop. You don't really know who you're quote bidding against. What I would say is that it's a very, very small group, very small, and that's what we're told. Like it's just there's only a few companies at the table that are capable of delivering. And I would say that on these, on these whales, they put you through different levels of testing are abilities because these are sophisticated. these are, some of these companies are, are trillion dollar public companies. Some of them are just hundreds of billions, but they're huge. And so they're sophisticated. And so what I could say, Lisa, is that they have put us through testing and we've passed the quality test, meaning they give you X number of models and they ask you to produce them. And they're highly complex. These are not simple. And so we have passed that test.
Lisa Thompson: Okay. So who do you run up against in general? Do other do when customers come to you? They say, oh, we tried X, Y, Z, and now we're going to try you? 
Evan Gappelberg: Yeah.
Lisa Thompson: Cause, there are only a few people.
Evan Gappelberg: Yeah. So what we found is there's really only two companies that we hear about. And I would say that we're hearing a less and less about them and I'll explain why. One is a company called Threekit, that has a configurator. And they, they do photo realistic 3D models. They raised $35 million, I think in a series B late last year. Another company's called Markset  which has been around for a while. And both of those companies, if you go and you look them up and you do your research are very, very heavily geared. If not exclusively geared towards making 3D models or, or providing solutions for the furniture industry. They do not venture outside of that. What makes next tech extremely unique is that we are actually providing 3D models, not just for the furniture industry, but for the sports industry, sporting goods, for clothing, for hardware, for jewelry. And there really isn't anybody that we run up against in those markets. We think we have those markets to ourselves as, as crazy as that sounds. There's nobody else that we run up against in those markets.
Lisa Thompson: Wow. Okay. So I, when I look at what you're doing now, it seems like you're actually getting involved in building the model. And it looks to me a lot like ad agencies, who do you sell to? Are you selling to ad agencies or to the brands themselves?
Evan Gappelberg: We don't, we, we really don't have a agency partners in a big way is maybe a few referral partners that we have, but we, we directly sell to e-commerce sites. We directly sell to brands. It's direct sales.
Lisa Thompson: Okay. How far off do you think this business can be? Self-Served for the customer where you don't even have to get involved and you just collect a check?
Evan Gappelberg: Well, once we set the customer up, once we deliver the models, it is self-serve, it is just collecting a check. We don't have to once the models are live on the site, unless they want more models, we just collect a check. And as far as getting,
Lisa Thompson: But making, making the more models though, is there going to be a point where they can make their own models just using your platform?
Evan Gappelberg: There's definitely the potential for some product categories to work that way. So for instance, the, the lay of the land, Lisa is you have simple models, you have media models, you have complex models, and then you have photo realistic models, right? So there's a wide spectrum of 3D out there. They're not -- it's not all the same. It's so at the low end, meaning simple things like pillows, let's say things like wall. Those types of things can be self-served and on demand. And that could happen potentially in the second half of this year, because that would just be AI-driven. And, and that is something that is highly scalable and it's something that we are kind of going after where the, the volume is very high and the cost is very low, so we don't charge as much either. Right? So instead of it being, let's say $10 per month per skew, because our cost is so minimal, we could offer it for $5 per month per skew or even three to $4 per month per skew. But you're talking about tens of thousands of pillows and pieces of art kind of thing.
Lisa Thompson: Okay, good. That should help. One question about expenses. What, what do you expect expenses to be in the first quarter, given the cuts that you've taken?
Evan Gappelberg: Andrew, if you could answer?
Andrew Chan: I think we, at the beginning of the quarter, we still saw a lot of savings and we're continuing down that path. I wouldn't be surprised at if we were another kind of million below what we've what we've had in, in Q4.
Lisa Thompson: Great. And does that continue or is that where you've hit steady state?
Andrew Chan: No. no, I think there's, there's more room to go. Again, our target is kind of $1 million kind of burn per month. And we're going to be managing that against the revenue that's coming in and it's, it's going to be fluid in that sense.
Lisa Thompson: All right, great. That's good to know. Okay. I think that's all my questions. Thank you.
Evan Gappelberg: Thank you, Lisa.
Andrew Chan: Thanks Lisa.
Operator:  Our next question, come from the line of Michael Farra. Your line is open.
Unidentified Analyst: Hey, good afternoon, gentlemen. How are we doing?
Evan Gappelberg: Doing good. How you doing Mike? Good.
Unidentified Analyst: Good. Yeah, it's a pleasure to talk to you guys again. Just three quick questions, I don't know if I should just roll them off real quick, but do you see a point given the fact that most of the revenue new? Well, by the way, a fantastic presentation, Evan keeps the face. I know the stock price at the moment is not even close to reflective of what it will be. I saw that you were backed on a price target at 250 by the end of the year. I expect it to be more but do you ever see a point where you would actually sell the e-commerce businesses one or all of them? The second question is your patent portfolio. How do you feel, do you feel it's strong and will you be filing any new patents and, and, and are there, or any competitor patents that are out there that you make it off at office action letters against that would say, Hey some of your claims, a C and D so potentially selling the commerce business, the patent portfolio and, and what that landscape looks like, and is there any pending litigation?
Evan Gappelberg: So I'll start with the pending, I'll start with the last first. So there's no material litigation. Otherwise we as a public company would have to disclose that as far as the patents go, I think we're preparing to file I, is it five patents, Andrew?
Andrew Chan: Yeah.
Evan Gappelberg: Yep.
Unidentified Analyst: Will these be provisional or will they be? Go ahead.
Andrew Chan: Non-provisional. It's actually disclosed in I believe our prospectus, that was our shelf prospectus that was filed this morning.
Unidentified Analyst: Oh, okay.
Andrew Chan: So…
Evan Gappelberg: Yeah. Yeah. So my patents are coming. And then as far as the e-com business…
Unidentified Analyst: Who are your patent attorneys? Who are your patent attorneys by the way? Or do you just do that through the same law firm?
Evan Gappelberg: Yeah. Mike, you can email me Evan tech, ar.com. And, and we could talk offline about that, but as far as the e-com business and selling it yes. That is on the table as a possibility, not a definite and, or spinning it off as its own Public Company. In which case, if we did something like that, shareholders would get kind of a dividend. So yeah, those two things are on the table. We, we don't see it as a business that will own, let's say five years from now.
Unidentified Analyst: Yeah. But it, it, it, it could provide a good platform so that you might not have to dilute yourselves or the company. And as revenue comes in and you strategically look at headcount and, and the business model is just -- it's just fantastic. It's, it's definitely the next wave. I can't believe someone doesn't offer you guys $10 billion for it already, but and I will, and what, if you get that, I wouldn't take it. Because I think it's worth a lot more as this thing expands out. There's so many geo factors and so many different things that are at play. And yeah, I'll definitely go ahead and email you about yeah. The other questions I understand. We'll take that one offline.
Evan Gappelberg: Thank you, Mike. Thank you for being so bullish. Appreciate it.
Unidentified Analyst: Oh, you bet. Well, I, I appreciate it. I, see your vision. I, I sometimes I, I, well I've given up going on some of these social forms with like StockTwits and this guy's that, and they've got a bunch of vaporware and I'm like, you don't realize the vision that Evan has and his team has he's that the executive team is world class and what you guys have done from, how many other companies can generate $25 to $30 million granted it's Canadian. So you do they do the conversion, it's around a little over $20 million, but and that's really my last question. Is there any way, and I understand because I've my background is law and I've dealt with the sec and stuff like that, but is there any way that in the reporting because I think a lot of investors that live in English speaking countries, is there new way to actually right at the beginning, say here's what it was in CAD and here's what it is in us dollars because I think sometimes people get confused?
Evan Gappelberg: Yeah. I, I hear I'll, I'm going to talk to Andrew and we'll, we'll look into that. You bet. It's a good, yeah, it's a good point. All right, Mike, thank you so much. Really appreciate it.
Unidentified Analyst: You're welcome. Thank you so much for all your hard work gentlemen.
Operator: There are no further questions at this time. I will now turn the call over back to Mr. Evan Gappelberg.
Evan Gappelberg: Well thank you for joining me today. I appreciate all the investor that have joined and, and that are, are taking this journey with us into the Metaverse. Everyone have a great evening. Thank you. Bye.
Operator: Thank you again for participating. This concludes today's conference call. You may now disconnect.